Presentation: 
Operator:
Peter Eliot:
Fabian Rupprecht:
Annelis Hammerli:
Peter Eliot:
Operator:
Simon Fossmeier:
Peter Eliot:
Fabian Rupprecht:
Operator:
Nasib Ahmed:
Peter Eliot:
Annelis Hammerli:
Peter Eliot:
Annelis Hammerli:
Nasib Ahmed:
Annelis Hammerli:
Nasib Ahmed:
Annelis Hammerli:
Nasib Ahmed:
Annelis Hammerli:
Peter Eliot:
Nasib Ahmed:
Annelis Hammerli:
Operator:
Iain Pearce:
Peter Eliot:
Fabian Rupprecht:
Annelis Hammerli:
Iain Pearce:
Annelis Hammerli:
Fabian Rupprecht:
Iain Pearce:
Operator:
René Locher:
Peter Eliot:
Fabian Rupprecht:
Operator:
Anne-Chantal Risold:
Peter Eliot:
Fabian Rupprecht:
Peter Eliot:
Annelis Hammerli:
Anne-Chantal Risold:
Peter Eliot:
Fabian Rupprecht:
Operator:
Michele Ballatore:
Peter Eliot:
Annelis Hammerli:
Operator:
Peter Eliot:
Operator: